Operator: Good day, everyone, and welcome to this Manitowoc Company Third Quarter 2016 Earnings Conference Call. Today's call is being recorded. At this time for opening remarks and introductions, I would like to turn the conference over to Ion Warner, Vice President, Marketing and Investor Relations. Please go ahead, sir.
Ion Warner - The Manitowoc Co., Inc.: Thank you, Catherine. Good morning, everyone, and welcome to Manitowoc's third quarter 2016 earnings conference call. We're glad you can join us today. With me today is Barry Pennypacker, our President and Chief Executive Officer; and David Antoniuk, Senior Vice President & Chief Financial Officer. On today's call, we will provide details of our third quarter 2016 performance as well as an update on our fourth quarter business outlook as outlined in last evening's release. Please turn to slide 2. Before we begin, I would like to review our Safe Harbor Statement. During today's call, forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995 will be made during each speaker's remarks and our question-and-answer session. Such statements are based on the company's current assessment of its markets and other factors that affect its business. However, actual results could differ materially from any implied projections due to one or more of the factors explained in Manitowoc's filings with the Securities and Exchange Commission, which are also available on our website. The Manitowoc Company does not undertake any obligation to publicly update or revise any forward-looking statement whether as a result of new information, future events or other circumstances. Today's webcast include the slide presentation which can be found in the Investor Relations section of our website. We will reference these slides throughout our remarks. We will be sure to reserve time for questions and answers after our prepared remarks. I would like to request that you limit your questions to one and a follow-up and get back in the queue for further questions in order to ensure everyone has an opportunity to ask their questions. And with that, please refer to slide three and I'll now turn the call over to you, Barry.
Barry L. Pennypacker - The Manitowoc Co., Inc.: Thanks, Ion, and good morning, everyone. The global economy remains stagnant and many key industries we serve continue to be weak. The order intake rates for our mobile products in the third quarter continued at the same rate as we experienced during the second half of the prior quarter. And this trend has continued into the fourth quarter as we have experienced so far. Tower order intake rates for the quarter reflected the seasonal effect we have seen in the past and were in line with our expectations. Past seasonal order rates in towers indicate that we will experience an uptick in order rates in the fourth order. And we are confident with our new renewed product line, particularly our self-erecting tower cranes, this will be the case. For the North American region, conditions in the oil and gas sector remain challenging as oil prices have remained low and demand has remained depressed. So there has been somewhat of a stabilization which is creating some optimism. Faced with uncertain markets and lower used crane values, fleet owners have not been able to replenish or grow their inventory. And we do not see any evidence of this turning around in the near term. In the Middle East, we've seen significant order deterioration particularly in Saudi Arabia. The number of current projects in the region had been greatly reduced, shrinking the demand for crane products in the region. The recovery in the commercial and residential construction markets, particularly in Western Europe and across all product lines, has partially mitigated the declines in other regions. Although we see pockets of stabilization across the globe, make no mistake the overall crane business is very weak and at historical low levels. We continue to maintain our increase of our market share in selected product categories. Based on current activity levels, particularly in mobile cranes, we do not anticipate a meaningful recovery in global demand for cranes in the near term. Moving to slide 4. We are aggressively taking actions to reduce costs to offset the impact of weak orders and balance capacity with demand. Specifically, we're approaching cost from three angles. First, we continue to reduce our manufacturing footprint. We are accelerating the relocation of our crawler production from Manitowoc, Wisconsin, to Shady Grove, which we now expect to be virtually completed by the end of 2016. Consistent with our continuing effort to consolidate the manufacturing footprint of the company, we have announced the consolidation of our two tower crane manufacturing locations in Portugal into one, which we expect to be completed by the end of the third quarter 2017. Secondly, as previously announced, we are significantly reducing the production of our mobile cranes in the fourth quarter to align our build schedule and inventory levels to incoming order rates. Production levels in our North American plants will be reduced by approximately 50% sequentially. This will have an adverse effect on our near-term earnings but will have a positive impact on our ability to maintain adequate liquidity levels to support the ongoing business. Finally, we continue to make additional head count reductions in all areas of the business. We plan to end the year approximately with 5,000 employees compared to approximately 6,400 employees at the beginning of the year, a reduction of approximately 1,400 employees from January 1, 2016, or 22%. As we look forward to the end of the year, we're adjusting our outlook to the reality we are facing in the global crane market, which reflects the impact of reduced manufacturing rates, lower SG&A expenses and focusing on maintaining adequate liquidity levels. David will also discuss this in a little more detail. And with that, I'll turn the call over to David.
David J. Antoniuk - The Manitowoc Co., Inc.: Thanks, Barry, and good morning, everyone. Let's move to slide 5. As Barry mentioned, we reported net sales for the third quarter of $349.8 million which decreased $88.4 million or 20.2% from a year ago. The year-over-year revenue decrease was most pronounced in the Middle East and the Americas regions. SG&A cost for the third quarter of 2016 were $73 million which is $4.6 million below the prior year and slightly less than the second quarter of 2016. Included in the third quarter 2016 SG&A costs were approximately $7 million of charges primarily related to the decline in the fair market value of used cranes. Operating loss in the third quarter was $133.5 million compared to a loss of $8.2 million last year. On an adjusted basis, our operating loss in the third quarter was $31.5 million compared to a loss of $7.7 million in the prior year. The current year loss includes $96.9 million of non-cash impairment charges primarily related to certain software assets and other charges related to the relocation of crawler and tower crane manufacturing operations. In addition, $3.9 million of restructuring costs were recognized during the third quarter mainly related to severance costs. As noted in our release, our adjusted operating loss included approximately $30 million of unusual items related to: the acceleration of the relocation of crawler crane manufacturing operations, continued investment in quality improvements, as well as costs related to the declining market value of used cranes. Excluding these items, our adjusted operating loss would have been $1.6 million for the third quarter of 2016. GAAP net loss from continuing operations for the third quarter was $138.2 million or $1 per diluted share versus a net loss from continuing operations of $29.6 million or $0.22 per diluted share in the third quarter of 2015. Excluding special items, non-GAAP adjusted net loss from continuing operations was $38.1 million or $0.28 per diluted share in the third quarter of 2016, which compares to a non-GAAP adjusted net loss from continuing operations of $29.8 million or $0.22 per diluted share last year. With regard to the relocation of our crawler crane manufacturing to Shady Grove, Pennsylvania, we confirm our expectations to incur cash outflows of approximately $35 million to $50 million related to this project. While this transition will be substantially completed by the end of the year, most of the cash outflows will be incurred in 2017. The majority of the costs to be incurred in 2017 will relate to capital projects and related expenses, inventory relocation and training costs. In the third quarter, we incurred approximately $2 million of cash outflows. In addition, we expect to recognize non-cash charges of approximately $95 million to $100 million reflecting a reduction from the original guidance of $105 million to $120 million. We recognized $93.9 million of non-cash charges in the third quarter. Total annualized savings to be generated from these actions continue to be in the range of $25 million to $30 million per year once completed and demand returns to normalized levels. During the third quarter, net cash used for operating activities of continuing operations was $1.4 million versus a use of $37.2 million for the prior year. The increase was primarily from working capital efficiencies. Third quarter capital expenditures totaled $10.1 million, which was in line with our expectations and compared to $9.4 million in the prior year. At this time, I would like to make a few comments regarding our liquidity. As most of you know, we have a $225 million asset-based loan credit facility. At the end of September, the availability line under the agreement is approximately $182 million. Against this availability, we have approximately $4 million of net borrowings and $17 million of outstanding letters of credit. Therefore, our excess availability as of the September balance sheet date was approximately $161 million. Backlog at quarter end was $353.6 million, a decrease of $40 million or 10% from the second quarter of 2016 and a decrease of 44% from the prior year period. For the third quarter, orders totaled $310 million compared to $349 million in the second quarter of 2016 and $338 million in the third quarter of 2015 representing a 0.9 times book-to-bill. Turning to slide 6, and as Barry has noted, we are adjusting our fourth quarter outlook to reflect the impact not only from the weak mobile crane market but also the negative impact on our planned absorption from the reduced build schedules. Accordingly, our fourth quarter guidance is as follows. Revenue down approximately 25% to 30% year-over-year. Adjusted operating loss margins approximately 4% to 6%. Depreciation approximately $11 million. Amortization of intangibles approximately $1 million. And capital expenditures approximately $10 million to $15 million. I will now turn the call back to Barry for some closing remarks. Barry.
Barry L. Pennypacker - The Manitowoc Co., Inc.: Thanks, David. Turning to slide 7. While the global crane business is still weak, we remain committed and focused on implementing our strategic priorities to achieve our target of double-digit operating margins by 2020, what we call 10 X 20. Our first initiative is margin expansion. As we accelerate the reduction of excess manufacturing capacity, thus eliminating waste and positioning the company to drive shareholder value as markets improve, we remain committed to including our customers in open dialog and are proactively seeking their input as we transition this company. For example, in the last two months, we invited over 170 customers to Shady Grove to see firsthand the overall progress we're making in this facility. The feedback was extremely positive as they could see for themselves the progress we are making with regards to our operations. As I mentioned earlier, we have made the decision to accelerate the relocation of crawler crane manufacturing. We remain on track to realize the savings that we previously committed once demand returns to more normalized levels. We also have begun the footprint rationalization in Europe by announcing the consolidation of two of our Portuguese manufacturing facilities into one. As I am sure you are aware, we are making very good progress. But we still have a lot more work to do, and I look forward to continuing on this much-needed path. The second key element of our strategy is growth. Despite the difficult macroeconomic backdrop, we are maintaining, and in some cases, growing our market share within mobile cranes and continue to expand our share in tower cranes. I am convinced that this is not by accident. Our customer satisfaction while our quality is improving, and as I've said in the past, this is the key to growing successfully in any market. We recently completed a tower crane dealer meeting in Niella, Italy to introduce our new HUP 40-30 product line as well as to show their customers the investment we've made in this new production line that I've been talking about. And again, we have gotten very positive feedback from our customers. As a reminder, our new HUP product line allows our customers to purchase two models instead of six and covers the same range of lifts as before their introduction. Our customers are extremely excited about the lead time and inventory reduction that we were able to achieve for them as a result of this investment. I also remain cautiously optimistic that next year the FAST Act will provide opportunities for our products as both presidential candidates have positioned this as a jobs creation priority. The third key element of our strategy is innovation. Our investment in design and technology is paying dividends as we are seeing strong acceptance to recent product introductions. In particular, our new GRT8100 rough-terrain crane launched in the second quarter has been well received by our customers for its excellent performance characteristics, quality and reliability. Customers of this crane tell us that this product launch has been nearly flawless and has been the best new product launch by Manitowoc in recent history. This success story demonstrates the powerful impact of The Manitowoc Way on our product development process. Another great example of our innovation is the previously announced and discussed military order. As background, in June of 2015, we were awarded a five-plus-two-year option contract with the U.S. Army valued at $192 million with the options to the contract valued at nearly $270 million total. Since that time, we've designed and built the first three test cranes. These cranes have been fully tested by us and have now been delivered to the U.S. Army for their portion of the testing, which is expected to last approximately six months at the Aberdeen Test Center in Maryland. During this phase, the cranes will be subjected to multiple performance and endurance tests to prove out there worthiness for our soldiers. This crane is capable of operating in the worst environments and in the harshest conditions known to the material handling equipment market. We know that this crane is up to the challenge and our teams have worked diligently to assure a solid design and test plan and platform (15:44) were delivered. When fielded, it will become the military crane used across military forces for light, medium and heavy lift requirements for the next 20-plus years. We believe the success of this project could lead to significant opportunities within the military and we are pursuing them aggressively. We also have made significant progress in developing our next-generation crane. We currently have three working prototypes undergoing performance and durability testing here in Shady Grove. The project is on schedule and the performance is ahead of expectations. I'm extremely proud of this project and the team. They are doing a super job and have clearly embraced The Manitowoc Way by better engaging our customers, increasing our speed to market and truly making a cross-functional team responsible to deliver superior results. We will showcase this new product at CONEXPO in March of 2017 and we have already begun to book orders. The fourth key strategic priority is to drive velocity throughout our enterprise by implementing the principles of The Manitowoc Way. As discussed in the past, our lead transformation is well underway at our Wilhelmshaven, Germany facility where we manufacture all of our all-terrain cranes. When I joined the company, a large investment was in process to optimize the manufacturing of our boom assemblies. I challenged the team to reconsider their approach using lean principles. A number of things have resulted from this challenge. We are now building booms sequenced with cranes and assembly. The team has also developed a variety of ways to optimize the overall flow of the production in the plant to improve sequencing. And lastly, based on a recent Manitowoc Way boot camp, the team identified several smaller activities to enhance the overall manufacturing process. There's still a lot of work to be done. But I am satisfied by how the team has embraced The Manitowoc Way. During the third quarter, we trained 80 of our most senior operational leaders in Europe on the principles of The Manitowoc Way. And as a result, each operation in Europe now has a team of qualified people to champion the culture of continuous improvement with each site having one person as the leader of the implementation of The Manitowoc Way. While the market remains extremely challenging, we are controlling every aspect of the business from a cost perspective. We are improving our quality of our products. We're expanding our market position. We're rolling out lean initiatives and continued with a disciplined approach to new product development. While the additional restructuring actions we are taking are significant, they are necessary to manage through the downturn and position the company for the long term. That said, we are maintaining our ability to quickly serve our customers when our business recovers. And once it does recover, we expect to realize substantial incremental profit improvement as we realize the benefits of the tough actions we are implementing now. In a lot of cases, talk is cheap. I talk very passionately about this business. But I guess the proof is in the pudding or should I say the results. I'm extremely excited to show all of you these results at our first Analyst Day in Shady Grove on Thursday, November 10, at which time you can judge for yourself. Our long-term outlook remains bright and I have every confidence we're going to exit this cycle significantly stronger than when we entered it. Our success would not be possible without the effort and commitment of our team. I thank each and every one of them for their strong dedication to ensure the future success of Manitowoc particularly during these challenging times. With that, we'll turn it back over to Ion to introduce the question-and-answer session.
Ion Warner - The Manitowoc Co., Inc.: All right. Thank you, Barry. And Catherine, open up the line please so we can start accepting the questions please.
Operator: Absolutely, gentlemen. As a reminder, please limit yourself to one question and one follow-up question. We'll go first to Mike Shlisky with Seaport Global.
Michael David Shlisky - Seaport Global Securities LLC: Hey. Good morning, guys.
Barry L. Pennypacker - The Manitowoc Co., Inc.: Good morning, Mike.
David J. Antoniuk - The Manitowoc Co., Inc.: Good morning, Mike.
Michael David Shlisky - Seaport Global Securities LLC: I wanted to touch first on the used crane pricing issue that you had in the quarter (20:17) that was like $13.5 million. I just want to make sure I get what's going on there. Is that a one-time issue that you had or are you going to be having to mark-to-market as you go along here in the coming couple of quarters?
David J. Antoniuk - The Manitowoc Co., Inc.: Right. So Mike, it is a mark-to-market adjustment with regard to the charge that we took within the quarter. And it related to what I'll say is the value that we had on the books at the time and what we anticipate the used crane market is today. We believe that the used crane market is at a low point and so I would not anticipate having any of those. However, should market conditions deteriorate, there will be pressure to reduce the values that we currently have on our books.
Michael David Shlisky - Seaport Global Securities LLC: Okay, great. Another question was – now you had mentioned CONEXPO coming up in the first quarter of next year. Are there any elevated SG&A cost it'll have in the first quarter for CONEXPO and any elevated R&D costs both in the fourth quarter or the first quarter as you get ready for CONEXPO?
Barry L. Pennypacker - The Manitowoc Co., Inc.: No. We've taken CONEXPO into the account for the SG&A percentage that we're targeting next year. And as far as R&D is concerned, the spending that we've had exhibited over the last three quarters will continue as far as I can see.
Michael David Shlisky - Seaport Global Securities LLC: Okay, I will leave it there. Thanks, guys.
Barry L. Pennypacker - The Manitowoc Co., Inc.: You're welcome, Mike.
Operator: Thank you. We'll go to Ann Duignan, JPMorgan.
Ann P. Duignan - JPMorgan Securities LLC: Hi. Good morning. It's Ann Duignan.
Barry L. Pennypacker - The Manitowoc Co., Inc.: Hey, Ann. Good morning.
David J. Antoniuk - The Manitowoc Co., Inc.: Hey.
Ann P. Duignan - JPMorgan Securities LLC: How are you? More fundamentally on the used crane values, can you talk about exactly what you have been doing there? Have you been leasing equipment to your rental customers or to end customers and that's why we're now having to write down residual values? It's not something I would have necessarily expected Manitowoc to have a risk of.
Barry L. Pennypacker - The Manitowoc Co., Inc.: Yeah, it has absolutely nothing to do with rental because that's really not our business. As you can imagine, Ann, we have a substantial amount of cranes that we continuously use for testing to ensure that the load charts and different lifts that our customers are requiring of these cranes have that capability. Those cranes are the ones that are in our test yards around the globe in our PVCs that we use. And what we have discovered is that, of course, as used crane values in the market continue to deteriorate; we have these cranes that needed to be mark-to-market. So it is something that has nothing to do with rental. It has to do with the service that we offer our customers well into the future. And as far as I can see, based on the valuations that we looked at, we've done a good job of analyzing this. And I truly don't expect, based on the data that I've looked at, that this will be an issue in the future.
Ann P. Duignan - JPMorgan Securities LLC: So let me just follow up on that. So if these are products that are being tested, does that insinuate that new products coming to market will have to be listed at lower prices?
Barry L. Pennypacker - The Manitowoc Co., Inc.: No, not at all. For instance, if you look at our VPC technology and our VPC 300 and VPC 650, as you realize that recently that's been a new product introduction. We have customers who are looking at utilizing that particular crane for lifts that haven't been thought of in the past. So what we have to do is we have to model that on the computer first and then we have to demonstrate in the yard that the crane is capable of doing that. So that is where you get the value of these cranes that we keep on our books. And when market pricing goes down, the prudent thing to do for a company that's publicly traded like ours is the mark-to-market. And that's what we did.
Ann P. Duignan - JPMorgan Securities LLC: Okay, I appreciate that. I'll just have to think about why that wouldn't impact future new prices. But more fundamentally, for 2017, the markets are extremely challenging. Tower cranes have held up. Why wouldn't we expect tower cranes to start to roll over next year especially in North America and the Middle East?
Barry L. Pennypacker - The Manitowoc Co., Inc.: If we didn't have the new product portfolio that we have invested in over the course of the last year in our tower crane business, I would be extremely concerned about that rolling over. But with the new products that we've come up with, the productivity improvements that we were able to supply our customers as well as the inventory reduction that the rental houses in Europe are going to be able to get as a result of the introduction of HUP, based on the intelligence that we've got from our customers while they were at Niella and certain industry trends that we're seeing; we feel very confident that at least the trend that we've exhibited in past fourth quarters for tower cranes will continue well into 2017.
Ann P. Duignan - JPMorgan Securities LLC: Okay, I'll get back in queue. I appreciate it.
Barry L. Pennypacker - The Manitowoc Co., Inc.: You're welcome.
Operator: Our next question will come from Steven Fisher with UBS.
Steven Michael Fisher - UBS Securities LLC: Thanks. Good morning.
Barry L. Pennypacker - The Manitowoc Co., Inc.: Good morning.
David J. Antoniuk - The Manitowoc Co., Inc.: Good morning.
Steven Michael Fisher - UBS Securities LLC: I wonder if you could just talk a little bit more about the oil areas and what's the pressure there and the situation. Are you still seeing cranes coming out of the oil area? How has the pace of that changed over the last few quarters, or is it really just kind of bottomed and stable here at a very low level?
Barry L. Pennypacker - The Manitowoc Co., Inc.: No. Well, I'd like to say that it had bottomed and it hasn't really repeated. However, we've seen a substantial number of cranes in the recent past come out of the oil sands. And that trend, I think, is a one-quarter trend. And I think those cranes are currently being absorbed into the North American market. And I think that is definitely one of the reasons why demand for our RTs in particular in North America has been stymied.
Steven Michael Fisher - UBS Securities LLC: Okay. That's helpful and makes sense. Can you just discuss the extent of pricing pressure on new cranes? I know you were just talking about used prices. But how broad is the new pricing pressure from a regional and product line perspective? And are you still finding yourself walking away from opportunities because of the returns?
Barry L. Pennypacker - The Manitowoc Co., Inc.: Absolutely. We will not be in a price game. But I must say, to be honest, with the products that we're currently shipping and the technology that I think we have been able to offer our customers; we've not seen the pricing pressure that I know has been talked about in the industry. We've been very resolute in our margin expectations of our sales force and we will continue to do so.
Steven Michael Fisher - UBS Securities LLC: So is your pricing year-over-year, is it neutral, is it positive at the moment?
Barry L. Pennypacker - The Manitowoc Co., Inc.: Neutral.
Steven Michael Fisher - UBS Securities LLC: Neutral.
Barry L. Pennypacker - The Manitowoc Co., Inc.: It's neutral.
Steven Michael Fisher - UBS Securities LLC: Okay, thank you.
Barry L. Pennypacker - The Manitowoc Co., Inc.: You're welcome.
Operator: And we'll now hear from Mig Dobre with Baird.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Yes.
David J. Antoniuk - The Manitowoc Co., Inc.: Hey, Mig.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Good morning, everyone.
Barry L. Pennypacker - The Manitowoc Co., Inc.: Good morning, Mig.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): So I'm just trying to make sense of something here. I understand your comments on used crane values. But there was also an adjustment to inventory reserves. Can we talk about that and equate that adjustment that you made to inventory reserves with your comment on stable pricing?
David J. Antoniuk - The Manitowoc Co., Inc.: Right. So, Mig, on the inventory reserve, obviously, one of the things we looked at and we took a fresh look at where we sit with our reserves relative to our on-hand inventory. And with the transfer of the manufacturing from Manitowoc to Shady Grove and the elimination of a lot of what I'll say is particular products, we've kind of engineered out a number of items that we've taken the reserve for. And in addition, we've looked at the current market environment, and based upon excess inventories, we've taken that as well. So I think it's more just a fresh look at where we stand with our general reserves in inventory as well as the impact of what I'll say is rationalization of the product line and the transfer of the products into Shady Grove, as well as just looking at general market conditions and the inventory. So that really drove the inventory reserve, and it really is distinct from the fair value of the cranes that we took that adjustment on.
Barry L. Pennypacker - The Manitowoc Co., Inc.: The two are completely independent. But, David, you may also want to recognize, because I certainly understand some of the tone of the question about the deep dive that we've done, so that we're pretty much ensuring that we don't have this issue quarter-to-quarter.
David J. Antoniuk - The Manitowoc Co., Inc.: Yeah. So, Mig, what Barry's referring to is that we've kind of taken a fresh eyes look at where we stand with the inventory, getting into, what I'll say is the particular details. And in the past when we looked at things, some things were not as clearly as visible. We took the time and effort to go and dig under the covers to look at things on a more granular level. And by doing so, like anything, we came up with some issues and we wanted to capture those and put them in one bucket in the quarter here.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Okay, I appreciate that. Then maybe sticking with inventory, can you help us think a little bit as to how this balance sheet account (30:19) progresses in the fourth quarter here? I know that normally we see a downtick seasonally in the fourth quarter. What sort of cash do you expect to generate here in the near term from inventory?
David J. Antoniuk - The Manitowoc Co., Inc.: So, Mig, I think our targeted reduction is about $60 million in the fourth quarter.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Okay. And then maybe you can humor me for one more. I'm trying to understand – there's a lot of moving pieces to your margins in the back half of this year. And I recognize that some of this is temporary in nature. Other items might be with us for a while. Can you help us separate these out so that we have at least some basic idea as to how to model margins into next year?
David J. Antoniuk - The Manitowoc Co., Inc.: So, Mig, I think the biggest challenge is going to be our absorption. That's the biggest variable at this point in time, which is really affecting our overall margin. As Barry had mentioned in his comments, when you look at our mobile what I'll say is build schedule in the fourth quarter and if you look at it on an earned hours basis in the facility; we're below 50% of what we did in the third quarter, which is going to generate a substantial amount of what I'll say absorption issues. And those are not going to be capitalized and we'll run through that. We're looking at about $18.5 million of variances that that's going to blow out in the third quarter. So that will negatively affect our gross margins in the quarter.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): All right, thanks.
Operator: Our next question will come from Seth Weber with RBC Capital Markets.
Seth Weber - RBC Capital Markets LLC: Hey. Good morning, everybody.
Barry L. Pennypacker - The Manitowoc Co., Inc.: Good morning, Seth.
Seth Weber - RBC Capital Markets LLC: I just wanted to better understand – it sounds like you're maybe qualifying some of the cost savings a little bit more than what I thought I had heard previously. So I think you're saying now like, for example, the $25 million to $30 million annual save is at a kind of a normalized market level. So kind of given what you're seeing for the market, is there any help you can give us for what we should be thinking about is the right savings numbers to be kind of incorporating into our model for next year assuming kind of current run rates? Obviously, it's not going to be the $25 million to $30 million. But is there some number that you would expect that we should be thinking towards?
Barry L. Pennypacker - The Manitowoc Co., Inc.: Yeah, I think you should expect the $25 million to $30 million with current run rates.
Seth Weber - RBC Capital Markets LLC: Okay. Maybe I misunderstood. I thought you were saying at a more normal market level.
Barry L. Pennypacker - The Manitowoc Co., Inc.: Well, current run rates are at normal run rates when we put the program together. Okay?
Seth Weber - RBC Capital Markets LLC: Okay. No, that's helpful. So I -
Barry L. Pennypacker - The Manitowoc Co., Inc.: And maybe that's where – yeah, and maybe that's where the confusion is.
Seth Weber - RBC Capital Markets LLC: Got you.
Barry L. Pennypacker - The Manitowoc Co., Inc.: Normal run rates are what we consider when we put the program together.
Seth Weber - RBC Capital Markets LLC: Perfect.
Barry L. Pennypacker - The Manitowoc Co., Inc.: I think you can hear or you can really model pretty quickly 1,400 employees out by the end of the year. And a substantial portion of that has been related to the Manitowoc crawler manufacturing. So you can get to that number rather easily.
Seth Weber - RBC Capital Markets LLC: Yeah, no doubt. I thought that you were more referencing a more normal market condition relative to where we are today but just a misunderstanding.
Barry L. Pennypacker - The Manitowoc Co., Inc.: No problem.
Seth Weber - RBC Capital Markets LLC: And I guess a couple of other just small questions. On the second quarter call, you had talked about seeing potential for, I think, another 20% or 25% of the U.S. footprint to potentially come out. Is there any additional progress towards that? Is that something that we might hear about next week or are you further along in that process?
Barry L. Pennypacker - The Manitowoc Co., Inc.: Well, when we put that 20% out, we thought that we would have more opportunity. We didn't think we would be relocating all of the production of Manitowoc, but we have done that. So in North America quite frankly, when this relocation is complete, we will have a Shady Grove facility. And that's it.
Seth Weber - RBC Capital Markets LLC: Okay, right. Okay, so that -
Barry L. Pennypacker - The Manitowoc Co., Inc.: So the further reduction in North America is very limited. However, if you think about what I said in the prepared remarks, we've begun the activity in Europe.
Seth Weber - RBC Capital Markets LLC: Right. I heard that.
Barry L. Pennypacker - The Manitowoc Co., Inc.: And we'll continue and continue.
Seth Weber - RBC Capital Markets LLC: Okay. And then just one last follow-up. I think in the second quarter you talked about aftermarket activity, aftermarket revenue being up based on the tower rebuilds. Did that continue here in the third quarter?
Barry L. Pennypacker - The Manitowoc Co., Inc.: It maintained and as I had said. And we are very, very concentrated on getting the overall aftermarket percentage of this business up into the mid-20%s. We have taken one of our high potential employees here and given them responsibility for the aftermarket globally. And I think that's going to show and provide substantial results for us. Tower rebuilds in Portugal continue at levels that are sold out for the balance of the year. So that continues to be strong. We received a rather substantial order to rebuild ATs in Algeria. So the focus that we're bringing to the aftermarket is in fact alive and well and reviewed very judiciously here. And I'm extremely pleased with the progress we're making. And I think as time goes on, you'll see that percentage get into the mid-20%s.
Seth Weber - RBC Capital Markets LLC: Terrific. Thanks very much and see you next week, guys.
Barry L. Pennypacker - The Manitowoc Co., Inc.: All right. Looking forward to it.
Operator: We'll now go to Jamie Cook with Credit Suisse.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Hi, good morning. A couple of questions and sorry to follow up again on Seth's question. But to be clear, Barry, if demand stays at like current levels – at levels I guess that you implied for the back half of the year, do you believe in 2017 that the crane business can actually be profitable?
Barry L. Pennypacker - The Manitowoc Co., Inc.: Yes.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Based on the actions. And is there any way you can sort of help quantify it? Because if we go back and look, the comments about the restructuring savings were more again when demand returns to normalized levels. So I just want to be specific. If we stay at the second half run rate, we can be profitable. And can you help us understand to what degree? And then my second question is – just a little more color on the – you talked about weakening utilization rates. If you could just give a little more color either by geography or product type. Thanks.
Barry L. Pennypacker - The Manitowoc Co., Inc.: Sure. Let's start off with the restructuring. The specific restructuring program that we've communicated to you with the $25 million to $30 million savings is going to put $25 million to $30 million in the bottom line next year whether we build a single crawler crane or not. So let's...
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay.
Barry L. Pennypacker - The Manitowoc Co., Inc.: ...just make that very clear. The other restructuring savings that we have are somewhat variable based on volume. We've taken out a substantial amount of overhead cost in a particular facility that we expect to build 100 units in. If we only build 70 units in there, we're certainly not going to be able to realize on a per unit basis the margin improvement that we thought we would get. However, that structural cost, as you can imagine from seeing the fact that 1,400 people have exited the business this year, is in fact in place for when we return to more normalized levels. And I would tell you that if you annualized our third quarter order rate, that's certainly not normalized levels for the crane business. That's at trough levels. So we are taking that into consideration. And then the follow-on question that you asked about 14 (39:05), we are resolute and very much concentrated on being a profitable company annualizing our second half of this year. And I'll let David comment a little bit more on that. But that is something that is our expectation and we are driving this business toward.
David J. Antoniuk - The Manitowoc Co., Inc.: Yeah, Jamie, just to add a little bit of color to Barry's comments. We've obviously been looking at where the business needs to be if we annualize what I'll say the second half of the year. If you look at the fourth quarter independently; in the fourth quarter we're sort of had a double whammy, whereas first we are adjusting our current production rates to current orders and then we're decreasing production further to get our inventory reduction in Q4 so that there's sort of a double whammy in there and it kind of skews the numbers a little bit. But notwithstanding, if we look at the market conditions and the order rates; we've done some internal modeling here where if we look at what we have in the second half of the year, annualize that, that we can become what I'll say breakeven to slightly positive on the operating earnings line.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay, that's very helpful. Thank you. And then just the color on utilization?
Barry L. Pennypacker - The Manitowoc Co., Inc.: In certain areas of the world particularly in the Middle East, we have seen utilization drop off the charts. Latin America, basically, there is one large program in Peru. And other than that, cranes are just absolutely idle. So my comments are really targeted at the Middle East and Latin America.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay, thanks. I'll get back in queue.
Barry L. Pennypacker - The Manitowoc Co., Inc.: Thank you.
Operator: Thank you. And Nicole DeBlase with Deutsche Bank, your line is open. Please go ahead.
Nicole DeBlase - Deutsche Bank Securities, Inc.: Yeah, thanks. Good morning.
Barry L. Pennypacker - The Manitowoc Co., Inc.: Good morning.
David J. Antoniuk - The Manitowoc Co., Inc.: Good morning, Nicole.
Nicole DeBlase - Deutsche Bank Securities, Inc.: So we've been through a lot of the questions here, so I think I'll just ask one. You see you guys are still looking for double-digit margins by 2020. But it seems like the volume environment has certainly taken a step down here in the past quarter. And so I guess what I'm curious is in order to get to double-digit margins by 2020, what sort of a volume environment have you baked in?
Barry L. Pennypacker - The Manitowoc Co., Inc.: Well, when I put that challenge out to the Group and what we were going to do, that was somewhere around the $1.7 billion to $1.8 billion range. I'm committed to double-digit operating margins in 2020. If revenue is at the level that we're experiencing currently annualized, we'll be at double-digit operating margins. There are plenty of businesses in that size that operate at double-digit operating margins and we should be no exception.
Nicole DeBlase - Deutsche Bank Securities, Inc.: Okay, got it, thanks. I'll pass it on.
Operator: Thank you. We'll hear now from Charley Brady with SunTrust Robinson Humphrey.
Charles Brady - SunTrust Robinson Humphrey, Inc.: Hey, thanks and good morning.
David J. Antoniuk - The Manitowoc Co., Inc.: Good morning.
Charles Brady - SunTrust Robinson Humphrey, Inc.: Just to go back to Nicole's question and make sure I heard that correctly. You believe you can do double-digit margins at the current production levels?
Barry L. Pennypacker - The Manitowoc Co., Inc.: In 2020, annualizing current business, continuing with our restructuring efforts, continuing with our product development efforts, continuing with our Manitowoc Way productivity improvements, there's absolutely no reason in this man's world that we shouldn't be there.
Charles Brady - SunTrust Robinson Humphrey, Inc.: Okay.
Barry L. Pennypacker - The Manitowoc Co., Inc.: And there are businesses that are $250 million that operate at double-digit operating margins. Yes, we have a large cost base. But that is what we are in the process of absolutely fixing. And I think when you study what we're doing and you see the amount of costs that we've taken out in one year and the amount of costs that we'll be announcing that we're taking out next year, it doesn't seem to me to be a long putt.
Charles Brady - SunTrust Robinson Humphrey, Inc.: Okay, that's good. That's helpful. I didn't hear any mention about the crawler market specifically. Can you address to what you're seeing in crawlers? And my second follow up to that would be on the tower market. You commented you're optimistic on towers because you have a number of new products rolling out. And I'm just curious. Juxtapositioning that with the commentary about what you're seeing declines in the Middle East, is there a concern that you'll wind up with excess tower crane capacity globally, particularly in the Middle East, that maybe offsets some of the growth you might otherwise get from new product intros?
Barry L. Pennypacker - The Manitowoc Co., Inc.: Let's start with the crawler market to start off. The crawler market in the U.S. in particular, which is where our volume is, is really, really dedicated and dependent upon infrastructure and wind. The wind portion of the business is doing just fine and we're very pleased with that, and that continues to show opportunities. The infrastructure portion, however, until the FAST Act appropriations start meeting themselves in the purchase orders and those funds start leaving Washington, D.C., that portion of the market is going to be somewhat stymied. And that's why I remain extremely hopeful that when this election finally does get resolved, that both candidates are on the record as saying that one of the things that we need to do very quickly is infrastructure investment to drive jobs. And that'll be very, very good for our crawler business. On the tower side, as I said earlier, I'm very much optimistic about my comments because of the new product introductions. The tower market in the Middle East is what it is. But the growth that we're seeing in Western Europe more than offsets that. And with the new products that we have introduced and the productivity improvements that they're able to give, not only customers in Europe but also customers in the Americas starting to look at our HUP product line is extremely encouraging.
Charles Brady - SunTrust Robinson Humphrey, Inc.: Thank you. Just one more for me and I'll get off. On your commentary in the release and I guess really referring more, I guess, to fourth quarter about the adverse impact about all this relocation and moving production; I'm wondering, do you think that drag goes beyond Q4 into first quarter 2017 or later, or is that kind of, by the end of 2016, that drag that you're seeing from operational inefficiencies is largely done?
Barry L. Pennypacker - The Manitowoc Co., Inc.: Well, I think David had tried to explain a little bit of that in that we're going to see the earnings impact of the move in the fourth quarter. And we'll see some spillover into Q1. But the biggest spillover that you're going to see into next year is the cash impact.
David J. Antoniuk - The Manitowoc Co., Inc.: And Charley, sequentially, typically Q4 to Q1 our sales go down just because of the year-end activities that happen as well. So from a volume perspective, we'll be a little bit down. And that's why typically there's an inventory build in Q1 associated with this business.
Charles Brady - SunTrust Robinson Humphrey, Inc.: Thank you.
Barry L. Pennypacker - The Manitowoc Co., Inc.: You're welcome.
Operator: We'll go to Sameer Rathod with Macquarie.
Sameer Rathod - Macquarie Capital (USA), Inc.: Hello, good morning. My question is on supply rationalization in the industry. Clearly, Manitowoc is taking painful steps to do footprint rationalization. But are you seeing this kind of behavior from your peers globally or are people still maintaining their footprint in hopes of future cycles or what have you?
Barry L. Pennypacker - The Manitowoc Co., Inc.: Well, I think the industry is very disciplined. There are competitors of ours who have announced that they are taking out the capacity similar to us, which I think is going to bode well long term for the industry. And so I think this is a long term and even in the short term is a great business because I think some of the more sophisticated competitors are taking actions like we are in order to ensure that there isn't an oversupply and overabundance of capacity when this industry returns.
Sameer Rathod - Macquarie Capital (USA), Inc.: Okay, thank you.
Barry L. Pennypacker - The Manitowoc Co., Inc.: You're welcome.
Operator: And Larry De Maria with William Blair has our next question.
Lawrence De Maria - William Blair & Co. LLC: Thanks. Good morning. Not to beat a dead horse, but – hi, guys. The normal demand and cost cuts comment. Can you discuss what capacity utilization would look like next year based on current run rates given the consolidation you're doing? And then secondly, where do you think normal industry demand is and what should it look like since this year is a trough, maybe trough, if you can give us some guideposts about what the industry should look like?
Barry L. Pennypacker - The Manitowoc Co., Inc.: I'll try to answer your first question. The second one, I don't know what is normal, to be honest with you, because this industry is quite difficult in some cases to understand. But I'll give that a shot. The first part of your question though is that we are – in most of our plants next year, we have a plan to operate at one shift. So that's our capacity utilization. We are sizing our operations that, based on our annual plan, we want to operate our businesses on one shift so that when this business does double, as it has in the past very quickly, we will be in a position to handle that demand. And of course, that wouldn't be possible in the past without us being able to implement lean principles and take waste out of the system and free up floor space and reduce inventory. So I think that is a very, very important part. You asked about normalized levels of demand. I think that if you look at us at $1.8 billion in revenue, that's pretty much a normalized base. And that's when we put all of our plans together to say what we were going to do in the future and things. And you look back over the last 20 years and you inflation-adjust demand. $1.8 billion is a normalized level for this cranes business.
Lawrence De Maria - William Blair & Co. LLC: Okay, thank you. And then if I could follow up. You said you're optimistic on share gains and I think in your release you mentioned significant gains coming. But you're not going to compete on price. I'm just curious how you get there. Is it really about the new product cycle? Sounds like towers, obviously. But is it really about the product cycle that takes significant share without price at this point?
Barry L. Pennypacker - The Manitowoc Co., Inc.: No, that comment was really not even targeted at towers. I've got to get share in mobile. And I've got to get share in mobile by, number one, fixing our quality, which I think we've done a very, very good job of and our customers are recognizing that. And I've got to be able to take share by having a better mousetrap. And I've talked about the GRT8100 introduction and what that is doing in the market. I've talked about the new crane that will be exhibited at CONEXPO. And I'm 100% certain that each and every one of you that comes to this plant next week and see what we're doing as an organization will have a newfound interest in what this business' capabilities are. It's very, very difficult for us when we're chasing the falling hatchet the way we are with regards to revenue, for you to see the wonderful things that this company's accomplishing. But I'm certain that as of next week, when you see what I can see, you will all look at this business in a different light.
Lawrence De Maria - William Blair & Co. LLC: Okay, thanks. We'll see you next week.
Barry L. Pennypacker - The Manitowoc Co., Inc.: Look forward to it.
David J. Antoniuk - The Manitowoc Co., Inc.: Okay.
Operator: Thank you. And we'll finally go to Cliff Ransom with Ransom Research.
Cliff F. Ransom - Ransom Research, Inc.: That's a long sigh of relief.
Barry L. Pennypacker - The Manitowoc Co., Inc.: Yes.
Cliff F. Ransom - Ransom Research, Inc.: Guys, I missed buying a D9 Caterpillar in Australia last year for $25,000. Would you recommend that I go out and buy a couple of crawler cranes or a couple of tower cranes?
Barry L. Pennypacker - The Manitowoc Co., Inc.: I would recommend you buy them all.
Cliff F. Ransom - Ransom Research, Inc.: Okay. Looking at when you ran through the credit line, what are your expectations about usage of the line? Are you going to be able to pull out enough inventory from – once you get over the burden of plant relocations which usually requires some excess inventory? But between now and the end of the year or maybe through the first quarter because that's the seasonal time, are you going to be able to get through that without drawing down that line materially?
Barry L. Pennypacker - The Manitowoc Co., Inc.: Yeah, that's our intention and our hope, Cliff, because quite frankly, when you're turning working capital twice a year, that's not very efficient. And when you look at what our working capital is and you look at where we're at, that's about the turns that we have. So you'll see a substantial ramp-down in this fourth quarter and we're going to keep it there because we do have flow lines, one-piece flow. And all of our major production facilities are in that transition. And we're going to match our level of throughput to that. And working capital is going to be a substantial source of cash for us. David, I don't know if you would like to add any color to that or not.
David J. Antoniuk - The Manitowoc Co., Inc.: Yeah, Cliff, I think generally speaking, we are acutely aware of what our availability is. And we do have sufficient availability on our line for the foreseeable future understanding that in February we have a large interest payment and of course getting through the fourth quarter, which is one of the reasons why we reduced our build schedule to not put cash into inventory but to free up the inventory. So we do have a good focus on working capital. And we believe that by paying a little bit more attention to working capital, we can mitigate to the greatest extent the requirements in the first quarter of our cash needs.
Cliff F. Ransom - Ransom Research, Inc.: And then as a quick follow up if I may – I'm sorry. Bear with me three seconds. Well, four seconds. When you talk about 10 X 20, Barry, are you assuming that it's 10 X 20 – you told us what you thought about 2017, that you could be at – what your commitment is. But isn't a 10% margin going to be mostly brought by volume recovery or by internal changes at -
Barry L. Pennypacker - The Manitowoc Co., Inc.: Zero. I almost choked on that. But zero of that is from volume, zero.
Cliff F. Ransom - Ransom Research, Inc.: I'm glad you choked -
Barry L. Pennypacker - The Manitowoc Co., Inc.: It's all from internal activities.
Cliff F. Ransom - Ransom Research, Inc.: Got it. And when you look at – and as cranes are a new business to you, but you're surrounded by crane people with cranes in their blood. Does anybody ever remember a period of time when cranes stayed down for six years in a row?
Barry L. Pennypacker - The Manitowoc Co., Inc.: No. 2002, 2003 and 2004, we sat at the trough. But we're a couple of – three or four quarters into that already. Back in the 1980s, you can look at prolonged period of time in the early 1980s. But in the last 25 years of keeping records of this business and analyzing it, we've not seen the four-year, five-year trough.
Cliff F. Ransom - Ransom Research, Inc.: Thank you very much, gentlemen.
Barry L. Pennypacker - The Manitowoc Co., Inc.: You're welcome.
Operator: Thank you. And with no additional questions in the queue, I'd like to turn the floor back over to Mr. Ion Warner for any additional or closing remarks.
Ion Warner - The Manitowoc Co., Inc.: Thank you, Catherine. Before we conclude today's call, please note that a replay of our third quarter conference call will be available later this morning by accessing the Investor Relations section of our website at manitowoc.com. Thank you, everyone, for joining us today and for your continuing interest in The Manitowoc Company. We look forward to speaking with you again during our fourth quarter conference call. Have a good day, everyone.
Barry L. Pennypacker - The Manitowoc Co., Inc.: And goodbye.
Operator: Thank you. Ladies and gentlemen, again, that does conclude today's conference. Thank you all again for your participation.